Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2014 Hewlett-Packard Earnings Conference Call. My name is Ellen, and I'll be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Jim Bergkamp, Vice President of Investor Relations. Please proceed.
Jim Bergkamp: Good afternoon. Welcome to our Fourth Quarter 2014 Earnings Conference Call with Meg Whitman, HP's Chairman, President and Chief Executive Officer; and Cathie Lesjak, HP's Chief Financial Officer. Before handing the call over to Meg, let me remind you that this call is being webcast. A replay of the webcast will be made available shortly after the call for approximately 1 year. Some information provided during this call may include forward-looking statements that involve risks, uncertainties and assumptions. If the risks or uncertainties ever materialize or the assumptions prove incorrect, the results of HP may differ materially from those expressed or implied by such forward-looking statements. All statements other than statements of historical fact are statements that could be deemed forward-looking statements, including but not limited to the execution of restructuring plans and any resulting cost savings or revenue or profitability improvements; any projections of revenue, margins, expense, earnings, earnings per share, HP effective tax rate, cash flow, share repurchases, currency exchange rates or other financial items; any statements of the plans, strategies and objectives of management for future operations including the separation transaction; and any statements concerning the expected development, performance, market share or competitive performance related to products or services. A discussion of some of these risks, uncertainties and assumptions is set forth in more detail in HP's SEC reports, including its most recent Form 10-Q. HP assumes no obligation and does not intend to update any such forward-looking statements. The financial information discussed in connection with this call, including the tax-related items, reflect estimates based on information available at this time and could differ materially from the amounts ultimately reported in HP's annual report on Form 10-K for the fiscal year ended October 31, 2014. Revenue, operating profit, operating margin, net earnings, diluted net earnings per share, income tax rate, cash and cash equivalents, operating cash flows, total company debt, capital expenditures and similar items at the company level are sometimes expressed on a non-GAAP basis and have been adjusted to exclude certain items including, amongst other things, amortization of intangible assets, restructuring charges and acquisition-related charges. The comparable GAAP financial information and a reconciliation of non-GAAP amounts to GAAP are included in the tables and the slide presentation accompanying today's earnings release, both of which are available at the HP investor relations webpage at www.hp.com. I'll now turn the call over to Meg.
Margaret Whitman: Thank you, Jim, and thanks to all of you for joining us today. As we exit the third year of our 5-year turnaround effort, I have to say that fiscal 2014 overall was a very strong year. Our performance came in right where it should be and we've delivered on our promises. We've reignited innovation across HP, strengthened our leadership, delivered cash flow above expectations, fortified our balance sheet and grown our non-GAAP earnings per share. And we finally stabilized our revenue trajectory, delivering flat top line revenue for the company on a constant currency basis for the full year. We've also made significant operational improvements across each of our businesses that are paying off in our improved profitability, customer and partner engagement and employee experience. In fact, we saw year-over-year operating margin expansion in every one of our businesses in the fourth quarter for the first time in many years. In addition, we once again delivered very strong cash flow in the quarter, generating $2.7 billion in cash flow from operations and free cash flow of $1.9 billion. For the full year, we delivered $9.3 billion in free cash flow, while returning $3.9 billion to shareholders through dividends and share repurchases. As a result, our balance sheet now stands at an operating company net cash position of $5.9 billion, a significant improvement from the $11.8 billion of operating company net debt in the first quarter of fiscal 2012. And we once again achieved earnings per share at the high end of our previously provided outlook, delivering non-GAAP earnings per share of $1.06 for fiscal Q4, up 5% over the prior year, and $3.74 of non-GAAP earnings per share for the full year, also up 5%. We were able to deliver this performance while continuing to invest in the critical innovation that will be the foundation of HP's future. In fiscal 2014, we increased research and development spending by 10% over the prior year as we increased investment in every segment, including cloud, infrastructure, 3D printing, and of course, The Machine. Fiscal 2014 was a year of significant innovation for HP. We announced exciting new products and services across our businesses, and as we enter 2015, we have the strongest portfolio we've had in a decade. Earlier this year, we announced HP Helion, a portfolio of cloud products and services that enable organizations to build, manage and consume workloads in hybrid IT environments. In the fourth quarter, we continued our momentum in HP Helion with the acquisition of Eucalyptus, a provider of open source software for building private and hybrid enterprise clouds. Eucalyptus' CEO, Marten Mickos, joined HP as a Senior Vice President and General Manager of our cloud business. We also announced HP OpenNFV, a network functions virtualization technology initiative that will help communication service providers accelerate innovation and launch new services faster, more easily and with less expense. NFV represents one of the most significant shifts in the telecom industry in 20 years, and HP is very well positioned to capitalize on this shift. With open and agile architecture, such as our software-defined networking and Helion cloud technologies, we are leading the move away from monolithic purposed built products. In May, we announced the latest release of our HP Vertica Big Data analytics platform, a key component of HAVEn. It allows customers to store and explore data with the most sophisticated SQL on Hadoop capabilities, combined with advanced analytics and dynamic workload management. In June, we introduced the HP Apollo family of high-performance computing systems, capable of delivering up to 4x the performance of standard rack servers, while using less space and energy. This includes the Apollo 8000, an industry first liquid-cooled supercomputer that combines high level of processing power with ultralow energy usage. We also extended our Converged Storage portfolio with a solid-state optimized all-flash HP 3PAR StoreServ system. It delivers performance and low latency without compromising enterprise resiliency or adding data center complexity. In August, we announced our new portfolio of HP ProLiant Gen 9 servers. These servers are optimized for convergence, cloud and software-defined environments and deliver flexible, scalable computing resources that are aligned to customers' business goals. In September, we expanded our commercial PC portfolio with the launch of HP Z Desktops and ZBook mobile workstations. These powerful devices are built to address the constraints of compute-intensive industries like media and entertainment, graphic design and oil and gas explorations. And just last month, we announced our vision for the future of 3D printing and computing with our blended reality ecosystem. The first product available in this ecosystem, Sprout by HP, is a first of its kind immersive computing platform that combines the power of an advanced desktop computer with a scanner, depth sensor, high-resolution camera and projector into 1 seamless device. It is early days for this breakthrough technology, and it will take time to build the ecosystem, but interest has been very strong among developers, partners and customers. Also as part of this announcement, we unveiled HP Multi Jet Fusion, a revolutionary technology engineered to resolve the fundamental limitations in today's 3D printing. HP Multi Jet Fusion leverages our 30 years of expertise and intellectual property in Inkjet printing to develop a 3D printing solution that is 10x faster than even the best technologies in the market today, with better quality and lower cost. We have already begun engaging with customers and the feedback has been very strong, and we expect general availability in 2016. As I have said before, the innovation engine is now alive and well at HP, and I expect that our pace of innovation will only accelerate as we move into 2015. Last month, we made another significant announcement that I believe will help accelerate the progress we've already made in the turnaround. We plan to separate HP into 2 new market-leading independent publicly traded companies. Hewlett-Packard Enterprise will lead the next generation of technology infrastructure, software and services for the New Style of IT. HP Inc. will be the leading personal systems and printing company, delivering innovations that will empower people to create, interact and inspire like never before. Both companies will have strong financial foundations, compelling innovation road maps, sharpened strategic focus and experienced leadership teams. And both will be well positioned to compete and win in today's rapidly changing, highly competitive environment. Over the past month since the announcement, I've met with hundreds of customers, partners and employees, and the feedback is overwhelmingly positive. They are excited about the potential of these 2 laser-focused companies that will each be leaders in their respective markets and what that can mean for their businesses and their careers. It's still early in the process but we have a compressive plan to ensure that we execute a successful separation with minimal disruption to the business. We have already established a separation management office tasked with driving the separation process, while allowing the company to continue to execute our FY '15 programs. As our results in the fourth quarter demonstrate, we have been able to begin this process with minimal disruption. We'll be giving regular updates on the progress of the separation on each of these quarterly calls. Now let me turn to our business group performance in the quarter. Overall, results in Q4 were driven by strong performance in Personal Systems, Industry Standard Servers and Networking, as well as disciplined cost management across all of our businesses. In Personal Systems, we had an excellent performance with our fourth consecutive quarter of revenue growth, up 4% over the prior year. For the full year, revenue was up 7%, despite having a tough comparison due to the Uttar Pradesh deal in Q4 of last year. We gained share across commercial, consumer, desktop and notebooks and expect that we will continue to gain share as the overall PC market continues to consolidate. In Printing, we had another strong quarter of profitability, while revenue was down 5%, primarily driven by supplies revenues. For the full year, revenue was down 4% over the prior year. We are seeing some competitive pricing in this business with some competitors using movement in the yen to price more aggressively. Overall, hardware units declined 1% over the prior year. Commercial hardware units were up 5% but disciplined focus on profitable units resulted in declines in consumer hardware, specifically low-value home printers. We continue to see momentum in our focus areas, with strong unit growth in value multifunction printers, where we are now the market leader; graphics products, particularly in our Indigo printers where we extended our leadership position and TCV growth in our managed print services business. Dion and his team have been addressing the challenges in this business and have moved quickly to get the supplies channel inventories we identified last quarter back in line with our target range. Overall, unit placement trends and supplies growth will take some time to optimize, but the team has an aggressive plan in place to address this, including targeted marketing programs and hiring on more supply specialists. With these activities, along with a very strong innovation pipeline, I'm confident that Dion is setting this business up for success. In Enterprise Group, Q4 revenue declined 4% year-over-year and full year revenue was down 1%. Overall, I'm pleased with the performance with solid execution in Industry Standard Servers and continued growth in Networking, partially offsetting declines in storage, Business Critical Systems and Technology Services. Over the past several quarters, we've made significant progress in our ISS business. Although revenue in the quarter was down 2% year-over-year, normalizing for the large hyper-scale deal in Q4 of last year, sales grew across all regions. We've improved our cost structure in this business, driving profitability, while at the same time attacking the market with new innovative solutions and aggressive marketing. We're continuing to see incremental opportunities from the IBM server sale to Lenovo. Business Critical Systems revenue continue to decline in the quarter, but we are excited about the HP NonStop x86 platform that we are currently testing with customers, as well as new Big Data converged solutions that are already generating revenue. Looking into Q1, we expect to see the benefit of our focus on driving innovation in this segment. The storage market continued its shift towards the mid-tier from the high end and our storage revenue declined 8% year-over-year. However, we remain very well positioned with our 3PAR platform, which grew year-over-year, and we expect to gain share as the market moves to the mid-tier. Networking continued to perform well, with revenue up 2% year-over-year driven by strong growth in switching. We saw good performance in China, but the market there remains very competitive. Technology Services revenue declined 3% year-over-year, driven by hardware declines in BCS and storage, but we continue to maintain stable operating margins, and we are seeing signs of continued adoption of our new offerings, including Datacenter Care, Flexible Capacity Services and Proactive Care. In Enterprise Services, we continue to make progress in turning around this long-cycle business but we still have more work to do. As expected, Q4 revenue was down 7% year-over-year, with a full year decline of just under 7%. As we highlighted previously, key account revenue runoff, as well as weakness in EMEA, negatively impacted year-over-year revenue comparisons. Profitability steadily improved through the year due to continued labor savings and improvements in underperforming accounts. Total bookings for the year were down but the quality of the bookings was better. We had solid growth in Strategic Enterprise Services signings as well as new logo bookings and increased new logo win rates. In Software, solid execution led to improved profitability and a return to growth in our license business in Q4. Overall, Software revenue was flat in constant currency. Revenue grew in our focus areas of security and Big Data, both in the quarter and for the full year, with Vertica revenue growing high double digits in Q4. We continue to make progress on SaaS bookings as we shift the focus on both our portfolio and operating model to SaaS and subscription-based offerings. So overall, I'm very pleased with the progress we've made. The sharp focus on our fundamental operations, including supply chain, go-to-market and cost structure is clearly paying off in our strong profitability across the company. We expect these improvements to continue into FY '15. On the top line, I've always said that turnarounds aren't linear and while we are seeing clear pockets of growth, other areas still need more work. But overall, our revenue performance has improved dramatically over the past 3 years, and I believe our progress to date will be accelerated by the separation we've outlined. Against that backdrop, our outlook for non-GAAP diluted net earnings per share for the first quarter will be $0.89 to $0.93, and for the full year, will be $3.83 to $4.03. So now let me turn it over to Cathie for a closer look at our performance in the quarter. Cathie?
Catherine Lesjak: Thanks, Meg. Overall, I'm pleased with the performance this quarter. Revenue was as expected across most of the portfolio, especially considering 2 major deals in the fourth quarter of last year that makes the tough compares. Profitability was strong with year-over-year rate increases in each of our business segments, in large part due to the operational improvements we've implemented over the last few years. We expect these improvements to continue into fiscal 2015, and cash flow for Q4 topped off what was already a strong year. Total net revenue for the quarter was $28.4 billion, down 2% year-over-year or 3% in constant currency. Fiscal 2014 net revenue was $111.5 billion, down 1% year-over-year or flat in constant currency. Gross margin for the quarter was 24.6%, up 1.6 points year-over-year and 0.6 points sequentially. Over the prior-year period, we experienced rate improvements across all of our major business segments partially offset by competitive pricing in hardware and an unfavorable mix impact on the strength of Personal Systems. Total non-GAAP operating expenses for the quarter were $4.2 billion, up 4% year-over-year, driven by investments in R&D and go-to-market. Sequentially, OpEx was down 1%, in line with normal seasonality. Non-GAAP operating profit was $2.7 billion or 9.6% of revenue, up 0.6 points year-over-year and 1.1 points sequentially. We recorded $146 million of expense on the other income and expense line, with the 22.4% non-GAAP tax rate and a weighted average diluted share count of 1.9 billion shares. We delivered fourth quarter non-GAAP diluted net earnings per share of $1.06. Full year non-GAAP diluted net earnings per share was $3.74, up 5% year-over-year and at the high end of our outlook range. Fourth quarter non-GAAP net earnings primarily excludes pretax charges of $604 million for restructuring and $226 million for the amortization of intangible assets. Full year non-GAAP net earnings primarily excludes pretax charges of $1.6 billion for restructuring and $1 billion for the amortization of intangible assets. While we began to work on the separation in Q4, associated costs were not material and are included in our results. We plan to treat separation costs as GAAP-only beginning in Q1 '15. By region in the quarter. Americas revenues was $12.8 billion, down 3% year-over-year, largely due to declines in the U.S. We faced some execution challenges, a tough compare in the Enterprise Group and continued key account runoff in Enterprise Services, but the U.S. economy continued to expand and we ended the quarter with strong backlog in Industry Standard Servers. EMEA revenue was $10.2 billion, flat year-over-year or down 2% in constant currency. The Western European region continued to grow, while we experienced declines in Russia and Central Eastern Europe. APJ revenue was $5.3 billion, down 5% year-over-year or 4% in constant currency. We saw softness in Japan which contributed to about half of the regional decline. And as Meg mentioned, had a tough compare in India related to the large PC deal won in the same period last year. Turning to the business segments. We had another strong quarter in Personal Systems where the team continued to execute well and delivered growth in revenue and profit while gaining unit share across all key segments. Revenue was $8.9 billion, up 4% year-over-year. Commercial sales grew 7% year-over-year, and we regained the #1 unit share position in commercial notebooks. Consumer sales declined 2%, but demand remains strong with growth in EMEA and the Americas. As you heard from Meg, this was a great year of innovation and we have a very strong product lineup. For example, with our x360 platform, we achieved a 12-point unit share gain in the high-growth convertible notebook market, taking over the #1 position worldwide. Overall, total PC unit shipments grew 5% year-over-year and we ended the quarter with channel inventory well within our target range. Operating profit of $355 million or 4% of revenue was up 0.9 points year-over-year as the team continued to segment and target the right market opportunities as well as streamline operational costs across the business. Print performed largely as expected with total revenue of $5.7 billion, down 5% year-over-year, driven primarily by supplies. Overall supplies revenue was $3.6 billion, down 7% over the prior year period due to softer demand and a reduction in channel inventory. As a result, we ended the quarter with ink and toner supplies channel inventory well within our target range. Total hardware unit shipments declined 1% year-over-year, partly driven by low-end home printers, offset by continued growth and share gains in our strategic focus areas of high-value units. We retained our #1 market share position in value multifunction printers overall, and for color and mono. Also, Ink in the Office hardware units grew double digits year-over-year with triple digit growth in OfficeJet Pro X printers. Total Printing operating profit remained strong at $1 billion or 18.1% of revenue, up 0.2 points year-over-year. Enterprise Group top line performance was mixed with revenue of $7.3 billion, down 4% year-over-year. While we need to improve sales execution in Storage, most of the other business units performed well and overall operating profit improved to $1.1 billion or 14.8% of revenue, up 0.4 points year-over-year. Within EG, the Industry Standard Server business continued to gain traction. Revenue was $3.4 billion, down 2% year-over-year. Sales grew in EMEA and Asia, and while Americas revenue declined, we exited the quarter with strong order backlog, including our new Gen 9 ProLiant servers. Technology Services revenue was $2.1 billion, down 3% year-over-year, driven primarily by hardware revenue declines in Business Critical Servers and Storage. Total penetration rates declined, while improving across BCS and traditional Industry Standard Servers, and gross margin performance remained strong in this business. Storage revenue was $878 million, down 8% year-over-year. The market continued to shift from the high-end to the midrange in entry-level storage solutions, and we saw this shift reflected in the strong growth of our 3PAR midrange offering. We're continuing to see positive growth overall in 3PAR, although Converged Storage declined 3% year-over-year. 3PAR plus XP plus EVA revenue declined 6% year-over-year. We expect our external disk results to be largely in line with the market for calendar Q3. Networking revenue was $669 million, up 2% year-over-year, driven by strong switching growth. We saw good performance in China in the quarter, specifically in the data center, although competitive pressures increased and we expect that to continue going forward. Business Critical Servers revenue declined 29% year-over-year to $238 million. Enterprise Services revenue was $5.5 billion, down 7% year-over-year, primarily driven by continued key account runoff. Full fiscal 2014 revenue was $22.4 billion, down 7% year-over-year, within the outlook range we updated last quarter. Overall, while there is more work to do to improve performance in ES, we made significant progress building out the instrumentation to more effectively run this business. By business unit, IT outsourcing revenue was $3.4 billion, down 7% year-over-year, and applications and business services revenue was $2.1 billion, down 6%. Strategic Enterprise Services or services for the New Style of IT grew revenue double digits. Overall for ES, we saw strong growth in new logos. The new logo total contract value was the highest it has been in over 3 years. We finished the year with a trailing 12-month book-to-bill ratio of 0.9. The business continued to deliver productivity improvements, and the operating profit for ES was $374 million or 6.8% of revenue, up 47% year-over-year. Full year operating profit was 3.6%, within the previously provided outlook range. Now turning to Software. We started to see the benefits of the work the Software team has been doing to strengthen our portfolio and go-to-market approach. Software revenue was $1.1 billion, down 1% year-over-year or flat in constant currency with a strong operating profit of $338 million or 31.1% of revenue, up 0.9 points year-over-year. License revenue improved, growing 2% year-over-year, driven by strength in Vertica and good recovery in the IT management category, particularly our application development management portfolio. Support revenue declined 1% year-over-year and professional services sales declined 5% as we strategically focused on higher-margin engagements. SaaS revenue was flat year-over-year, but we continue to see momentum in our new SaaS offerings. Service Anywhere and Propel products are winning in the marketplace, driving year-over-year and sequential IT operations management bookings growth. We also saw double-digit SaaS bookings growth in security. HP Financial Services revenue was $906 million, down 1% year-over-year and operating profit was $110 million or 12.1% of revenue. Financing volume grew 15% year-over-year, the fourth consecutive quarter of double-digit growth. For fiscal 2014, the HP Financial Services return on equity was 18%. Turning to cash flow and capital allocation. In Q4, we generated $2.7 billion in operating cash flow and $1.9 billion in free cash flow. Our cash conversion cycle was 4 days -- down 4 days sequentially, driven by improvements in day sales outstanding and days payable outstanding. DSO was down 2 days from Q3. Normal sequential seasonality was more than offset by strength of collections and currency movements. DPO was up 2 days from Q3 due to extended payment terms and business mix. This cash conversion cycle is not at a sustainable level and is below our expectation of 10 to 12 days for fiscal 2015. We repurchased 21.7 million shares in the quarter and paid $309 million in dividends, returning approximately $1.1 billion to shareholders in Q4. For fiscal 2014, we returned approximately $3.9 billion to shareholders in the form of share repurchases and dividends. This is below the 50% of free cash flow target we laid out at the beginning of the fiscal year, and we intend to make up the difference in fiscal 2015. The restructuring program remained on track and approximately 41,000 people exited the company by the end of our fiscal year. Overall, our full year results reflect the progress we've made on improving our cost structure across the company to enable the right investments for the future. As we said in October, it is because of these foundational improvements that the planned separation will be done from a position of strength. Looking forward to Q1. In Personal Systems, we expect to leverage the strength of our product lineup to continue to gain share in a consolidating market. Commercial PC growth is likely to further moderate as the XP refresh is now largely complete. In Printing, we intend to place high-value hardware units for both laser and ink, improving the quality of our installed base and the supplies attached. We expect graphics and managed print services to continue to be growth drivers for the business. In the Enterprise Group. Overall, the hardware market is likely to remain highly competitive. In Industry Standard Servers, we expect some momentum going into Q1 from the sales ramp of our Gen 9 portfolio, as well as Apollo and cloud line platforms. Keep in mind that the large hyper-scale deal from last year that Meg previously highlighted shipped largely in Q4 '13 and Q1 '14. In Storage, we will continue to focus on driving growth in the 3PAR portfolio, including all-flash arrays in order to outpace declines of older technology. We will continue to leverage our differentiation across the Networking portfolio, including software-defined networking, to drive share gains. In Enterprise Services, we expect to deliver results to support the full year fiscal 2015 outlook provided in October. In Q1, we anticipate operating profit will decline sequentially due to normal seasonality and key account runoff. In Software, we continue to align with customer demands and shift our product development resources and go-to-market focus towards SaaS and subscription-based offerings. This shift may create near-term revenue headwinds but will set us up for long-term success. From a macroeconomic perspective, we expect geopolitical uncertainty to continue, impacting specific territories such as Russia, as well as increased competitive pressures in China. The impact of foreign currency fluctuations is expected to continue to be a headwind as we move into fiscal 2015. As we said on our October 5 call, we expect the headwind to be approximately 2 points to as-reported revenue on a year-over-year basis. With that context, we are reaffirming our full year fiscal 2015 non-GAAP diluted net earnings per share range of $3.83 to $4.03. For fiscal Q1, we expect non-GAAP diluted net earnings per share to be in the range of $0.89 to $0.93. From a GAAP perspective, we are reaffirming our full year GAAP diluted net earnings per share to be in the range of $3.23 to $3.43. And GAAP diluted net earnings per share for fiscal Q1 is expected to be in the range of $0.72 to $0.76. This GAAP outlook does not include separation charges. On the Q1 2015 earnings call, we are planning to provide more information about Q1 and full year separation charges. With that, let's open it up for questions.
Operator: [Operator Instructions] Our first question is from Katy Huberty with Morgan Stanley.
Kathryn Huberty: First, a question for Cathie. Now that you're back to target inventory levels in printer supplies, how should we think about growth going forward and also your ability to keep the margins at 18% in light of supplies mix perhaps improving?
Catherine Lesjak: So Katy, good question. I think Meg will give maybe a little bit of a view on supplies on a go-forward basis, but I would say that overall, we expect that the ink supplies will really start to stabilize and maybe grow a little bit, and that toner supplies will begin or continue stabilizing into '15, but probably not grow until '16.
Margaret Whitman: So Katy, let me give you a -- maybe pull the lens back all the way and talk about our Printing business. As you know, we have really 3 businesses: we've got Inkjet, laser jet and then our graphics business. And the good news is graphics is performing very well, high single-digit growth for much of the year, middle single-digit growth for Q4. Inkjet is performing largely as expected. While we've experienced some decline in the home computer market -- or the home consumer printer market, basically we're growing SMB and Ink in the Office and a number of our initiatives are doing quite well in the ink business. The challenges are the greatest on the laser side of the business, and there's 2 things going on here. One is we made the same hardware decision as in ink to place those high-value units, which lead to greater attach long term, which I think is a smart move. On the toner side, I think the declines can be attributed to the clones and the remands attacking on our aging installed base, which we've been fixing over time but we still have an aging installed base. I think the good news is we are all over this challenge. And we're focusing on our high-value MFPs, where we outperform the market. We've got a great Managed Print Services business, where we're now #2 in the market from #4 a couple of years ago, and we're launching a new R series of products with new technology to combat the clones. So ink, good; graphics, great; and toner is our challenge in laser but we are all over it.
Catherine Lesjak: And specifically around your comment around margins in '15, very much the same as margins in '14, and so we're very focused on our cost initiatives and driving the appropriate productivity. We have seen favorable currency obviously in '14 that was very significant. In '15, that favorable currency position from yen weakening does mute a bit because we are anniversary-ing it. But we do continue to expect to see some incremental gains from yen in fiscal '15.
Kathryn Huberty: Okay. And then just as a follow-up, Meg, in the press release, you mentioned the potential to accelerate the progress of the turnaround in fiscal '15 and beyond. Can you just talk about, is that referencing accelerated revenue performance, accelerated cost performance? And how much of that is dependent on getting the spin done in the second half versus a foundation that's already been laid?
Margaret Whitman: Yes. So, Katy, let me give you a perspective here. We have made a lot of progress over the last 3 years on a couple of dimensions. One is we have firmly stabilized the revenue in this business. We were flat year-over-year, which is not what we aspire to, but from whence we came with high single-digit revenue growth, we're feeling pretty good about that. We have also done a good job on the cost side. You saw that we expanded margins in every single business in the fourth quarter, which has not happened since May of 2012. So we need to keep doing what we're doing. We need to continue to accelerate the pockets of growth that we have. We need to mitigate the declines in some of our businesses, legacy products, whether it be tape or others, and we need to continue to double down on the innovation engine. I'm really proud that we increased R&D by 10% year-over-year. We haven't done that in a very long time. So I think we're poised to do well in 2015. We expect flat revenue in 2015 in constant currency. If it were not for the 2-point currency headwind that Cathie described, we'd actually grow a bit. But every major U.S. company is going to be facing a pretty significant currency headwind, and we are no exception to that. And then we feel good about the margin expansion. So right where we thought we'd be on the turnaround, and obviously the point of the separation is that we will accelerate that going into 2016.
Operator: The next question is from Sherri Scribner with Deutsche Bank.
Sherri Scribner: I just wanted to follow up and ask Cathie if you still feel comfortable with your cash flow guidance for fiscal '15. And along with that, if you still expect to deliver 50% of that back to shareholders. And as part of that, what type of share count should we expect in the first quarter, given a lot of the buybacks happened later in the quarter?
Catherine Lesjak: So thanks, Sherri. Yes, I still expect that our cash conversion cycle is going to be in the 10- to 12-day range for fiscal '15. And part of that is the result of things that happened in the fourth quarter that are not sustainable. For example, we did have a currency benefit to the cash conversion cycle in the fourth quarter that actually isn't real cash. And I'm sure most of you just said, "What is she talking about?" But what happens is that we actually hedge our balance sheet around the world. We hedge them at a net monetary asset basis and we book it through OI&E. We don't hedge accounts receivable separate from accounts payable, and so we're getting what looks like an artificial cash flow impact from DSO. So really, if you really think about the fourth quarter, it's really at about 6 days. We've got some linearity in there from purchasing and sales that is not sustainable going into '14 -- I'm sorry, into '15, and then we also have business mix impacts. Because as you guys know, the Personal Systems Group generates a very negative cash conversion cycle, which is great. But as that business becomes less mix for us and the EG and Enterprise Services becomes more, which has a higher cash conversion cycle, there's upward pressure. And then finally, I think one of the really important things is that we've done a great job of getting our balance sheet in good shape and our working capital in great shape. And now the opportunity is there for us to take advantage of cash discounts when it makes economic sense, put inventory on both when it makes economic sense and frankly make some strategic buys when it makes sense. And that will put upward pressure for all the right reasons on the cash conversion cycle in '15.
Margaret Whitman: And with regard to returning 50% of cash flow to investors in the form of dividends and share repurchase, that stands, that is our objective for 2015. And given where the share price is, you'll see us weight that towards share purchase.
Catherine Lesjak: And therefore, you should expect a moderate decline in shares outstanding over the course of '15.
Sherri Scribner: Okay. And just to follow-up, you're still comfortable with the $6.5 billion to $7 billion free cash flow guidance for fiscal '15?
Catherine Lesjak: Yes, we are.
Operator: And the next question is from Toni Sacconaghi with Sanford Bernstein.
Toni Sacconaghi: I have one for Cathie and I think one for Meg. Cathie, I just was wondering if you could help us frame the cost savings opportunity in fiscal '15 versus fiscal '14. My sense is that the gross cost savings opportunity is actually several hundred dollars bigger -- several hundred million dollars bigger in fiscal '15 than in fiscal '14. And I was wondering if you could comment on if fiscal '14 was, let's say, $1.4 billion in gross savings, whether you could comment on how much of that you reinvested versus fell to the bottom line? And how we should be thinking about that on a relative basis for fiscal '15? How are you thinking about reinvestment versus savings capture relative to this year?
Catherine Lesjak: Sure. So Toni, let me start with just a restructuring update so that everybody is on the same page. So from a restructuring perspective, we did end fiscal '14 as we expected. We had about 41,000 employees leave under the program in fiscal '14. We took a GAAP-only charge in '14 of about $1.6 billion, and we had a cash outflow of about $1.5 billion. That generated gross savings in the year of $3.5 billion. And then if you look at -- or you go back to the announcement we made at the beginning of October, we increased the number of employees impacted from 45,000 to 50,000. And the savings from that, the net savings from that increase, we are investing back into R&D and go-to-market. For fiscal '15, we do expect that we will have that full amount of 55,000 employees leave under the program, that the GAAP charge will be down significantly to about $600 million, and that the cash outflow [ph] impact will also be down by about $500 million and the gross savings will be up to $5.3 billion. Now to your point, a fairly large chunk of that gets reinvested back in -- frankly, in work that gets migrated as we adjust our global footprint. Some obviously goes back into investing into R&D and sales and some will drop to the bottom line.
Toni Sacconaghi: And Cathie, can you help qualitatively about how we should think about that relative reinvestment rate for '15 versus '14, or is that discretionary depending on how the year goes?
Catherine Lesjak: I think it's a little discretionary. But we put a significant amount of that back in -- when you think about those incremental 10,000 folks and the savings that we're going to get in the year, on a net basis, that is going back into R&D and sales.
Toni Sacconaghi: Okay. And then Meg, you sound consistently confident about the stabilization in revenue and -- in the opportunity for -- or expectation for flattish revenue growth at constant currency in '15. And I was just wondering what dynamic you see changing? So I look at '14, and you had quite easy comparisons on the revenue side. And then in Q4, your comparison was about minus 3 and revenues grew about minus 3 at constant currency. When we look to fiscal '15, your comparison at constant currency is about 0, so it's actually tougher and you're expecting much better growth than you saw in Q4. So I was wondering if you can comment on whether you actually think the environment will improve in fiscal '15 relative to what we saw in fiscal '14, or whether there were unique performance challenges in '14 that you don't think will repeat. Or if we just try and think of a more analogous, tougher compare, which is Q4, it doesn't necessarily follow that getting to flat revenue growth in a similar spending environment necessarily happens. So maybe you can help me with your view on what drives that.
Margaret Whitman: Yes. Sure, Toni. So first, I would say, from a macroeconomic point of view, we don't expect much change across the globe, with the exception of the United States, which does seem to be strengthening in a way that is different from the last 3 years. Second, I would say much of this performance that we expect from a revenue perspective in 2015 is driven by the fact that we are stronger. Every business is stronger. Every market position that we are in is a bit stronger. Our innovation roadmap is the strongest we have had really across the board, whether that is our PC lineup, our new range of R series printers, our next generation of servers, our Mission Critical x86 servers, all-flash array in our storage business, SDN in networking, across the board. We've got 2 new great products in our IT management suite in Software. So feel great about that part of the business. Everyone -- every business is stronger. ES, we are planning to have a slower decline in revenue in 2016 -- in 2015 than we did in 2014 or 2013. So while we still anticipate ES will shrink in 2015, it will be at a slower rate. And probably the biggest swing factor to growing the company will be what happens in ES revenue. And I'm encouraged on 2 points. One is our new logo performance is the best it's been in a number of years. Our win rates are up. We're being invited to RFPs and to opportunities much more frequently than we were in the past, and we have a higher win rate. We have to continue to sell our in-year sell and build to our existing customers. So Cathie, I don't know if you would agree with me, but I'd say probably ES is the biggest swing factor in terms of the growth projection that we've put out for 2015.
Catherine Lesjak: So I think that ES -- I also think EG has just an incredible amount of innovation that's coming to market. We've got our Gen 9 ProLiant server that launched in August. We've got our Apollo series platform that's launched. And we have just an incredible lineup for the year that I think is -- it gives us some real upside in EG as well.
Margaret Whitman: And the Windows Server 2003 refresh.
Catherine Lesjak: Exactly, for the server space there, too.
Operator: The next question is from Ben Reitzes with Barclays.
Benjamin Reitzes: Meg, can you comment on what your appetite for M&A is during the transition process now that we -- I mean, you've been buying back stock the whole quarter, so it looks like your plans might have changed over the last 90 days, if you could just update us there. And then also, did you detect any disruption at all in any of your business due to the announced transition and breakup, particularly in the Enterprise Group? And how are you managing that and making sure that everything goes smoothly?
Margaret Whitman: Yes. So with regard to M&A, we still remain interested in acquiring assets that are the right thing for either what will become Hewlett-Packard Inc. or HP Inc. and what will become Hewlett-Packard Enterprise. But as always, and we've been consistent on this, this is returns-based, we remain disciplined and we won't do things that are not in the best interest of shareholders. So I wouldn't say that it's changed dramatically, but we remain on the same sort of philosophy of M&A. With regard to disruption, I'm actually happy to report that I don't think we saw any disruption in the fourth quarter. And we are approaching the separation, I think, in a very good way. First is we have some of our most talented executives running the separation, and that is what they are doing full time. And at its peak, that will probably be between 400 and 500 people. The rest of HP, all 275,000 of the rest, will be, in fact, focused on running the business. And so I have a lot of confidence that we'll be able to deliver FY '15, which is critical because the most important thing we can do to get these 2 companies off on their own is deliver this year while we execute the separation. This is a big and complicated separation. It is the biggest separation that's ever been done. And it's not a typical spinoff where you've got one big company spinning off a little part of the company. These are 2 Fortune 50 companies that, as I've said, at separation both have about $57 billion of revenue. So it's big and it's complex, but we've got the right people on it. And I'm really heartened by how we have approached this. This is HP at its best, execution machine on the separation.
Catherine Lesjak: And the other thing that I would say is that as we were entering into the fourth quarter, we obviously had some expectations about what we thought revenue would do. And this was before we announced the separation. And the revenue actually came in a bit better. So top line was better. And that's even in an environment in which currency moved against us to the tune of several hundred million dollars. So continuing to feel very confident that we can execute in fiscal '15, while we are separating the company.
Margaret Whitman: And let me just give you a little color of customers and partners. So we communicated with 38,000 customers and 69,000 partners in the first 18 hours after the announcement. It's kind of amazing, but we were in a military style of communication. And then post that, all the senior executives have met with hundreds of customers and partners. And I would have to say that almost universally, they're enthusiastic about this. They think it's going to be good for them, good for their business because we'll have 2 more focused companies that have an ability to react faster to the marketplace and meet their customer needs more -- in a more focused way. And that, of course, because the customers have reacted well, that has actually sort of encouraged our employees. They're now kind of excited saying, "Wow, this is going to give us a chance to be more nimble and to win more in the marketplace." So I think this has gone as well as it could have gone. I'm really pleased with the communications, pleased with the reaction and pleased with the rallying of our employees across the globe.
Operator: The next question is from Maynard Um with Wells Fargo.
Maynard Um: So you've now put senior leadership in place to manage the separation of the 2 companies. Can you just talk about what the immediate mandates are, what the next steps are? And then also, whether you have any thoughts on potential incremental synergies, where that might be coming from and if there's any way how we might be able to frame the magnitude today.
Margaret Whitman: Yes. So the intermediate -- the immediate mandate, and I'll go into a little bit of detail here, is there is a corporate separation management office who is tasked with creating 3 years of historic financials for each of the different businesses which, of course, we do not have because we've been together. Second is very detailed analysis of tax and legal separation. We have over 786 legal entities at this company, all of which have to be looked at and rationalized. Then we have a separation management office for each of the businesses, Hewlett-Packard Enterprise and HP Inc., and their job is to make sure that we got the right strategy with the right cost structure as we head into being 2 separate companies. And there is also, obviously, the separation of IT that needs to take place. And that will give us an opportunity to create an IT infrastructure for each company that isn't based on our legacy IT system and isn't based on a manufacturing system which, for so many years, it has been. So those are the immediate mandates. And it seems to be going well. We've got deadlines every month on things that have to be decided, decisions that have to be made and operations that have to be changed. With regard to incremental synergies, I'll let Cathie take a crack at that. What I will say is the separation was totally the right thing to do for this company. It will, as I said, make us more customer-focused, but it also gives us a chance to clean sheet 2 new Fortune 50 companies. And it is remarkable how it focuses the mind around overhead, around do we need exactly what we have today? Because what we are not doing is separating the company into 2 pieces exactly as it is today. We are using this opportunity to really think through how we start -- knowing what we know now, and if you had a chance to restart these 2 Fortune 50 companies, how will you organize? And that has been a really interesting and I think going to be really good for both these companies.
Catherine Lesjak: So I don't have a specific number for you, we're still working through this. We're working through, frankly, also the cost of the separation, which we will give an update on our earnings call in Q1. But I'll reiterate something Meg said, maybe a little bit differently. This is an opportunity to do 0-based budgeting, as close as you can get to 0-based budgeting for 2 Fortune 50 companies because every line item needs to be reviewed, every balance sheet item needs to be reviewed in order to do this split. And so it's a huge opportunity for us to really take a different perspective with our cost structure.
Margaret Whitman: And the ability to rethink go-to-market, supply chain, customer support, warranty, I mean, we're just going through every single thing. And by the way, we've been doing that for 3 years. There is a huge amount more opportunity, which I think is also exciting to people because in this day and age and, what I'd call, the new style of business, your cost structure is an absolutely necessary part of being able to compete in a global environment.
Operator: The next question is from Kulbinder Garcha with CrÃ©dit Suisse.
Kulbinder Garcha: I have questions for Meg and for Cathie, both really around the next year's revenue outlook. For you, Meg, first of all, going back about 2 years, you published a slide which talked about sustained growth from fiscal year '15 onwards for the business. Obviously, a lot has changed in the last 2 years, and I acknowledge that. But are we at the point whereby -- I know you've talked about some moderate level of growth this year, but it doesn't sound you're that convinced it's going to be sizable. Are we at the point whereby just going forward, you are confident it can be a growth company even if it's low single digits? And what are the key product areas that we should be tracking to monitor that progress, do you think? And just for Cathie, on the -- one thing you said earlier on, on the free cash flow question was that you implied that PSG may actually decline or may be able to go down in the mix. But I thought a few weeks ago, at the analyst meeting, you implied the PC industry may contract, but HP's PC business wouldn't contract because you've gained share. Does that not stand anymore? Or have I misunderstood? I just want some clarification there.
Margaret Whitman: So let me talk about FY '15. As I said, we would grow this year, in my view, if we didn't have the currency headwind. But listen, there's puts and takes in every business. I think the revenue will be about flat in constant currency this year. And again, we have made a huge amount of progress. There's been tremendous changes in the marketplace over the last 3 years, but I feel good about having stabilized the revenue. Now I think the question you're asking is, do we think 2 separate companies will grow in 2016? And it is too early to give you that guidance. As we come closer to the end of this year, we will give a lot more detail about HP Inc. and about Hewlett-Packard Enterprise. And we will be out with investors, much like an IPO roadshow, as we get closer to the separation. But at the highest level, one of the principles, one of the philosophies behind this separation is both companies will actually do better separately than they would have combined. And that's because cost structure, focus, real attunement to customer needs and the marketplace changes. So the thesis very much is to go from year 3 to year 5 of this turnaround, we're going to make progress as separate companies than we would have had we kept this together.
Catherine Lesjak: And Kulbinder, my comment was really around the long-term sustainability of the cash conversion cycle at 4 days. And so we do -- would expect that had we kept together, that over time, the PC business would -- mix would decline, and that the Enterprise Services and EG mix would increase.
Operator: The final question comes from Amit Daryanani with RBC Capital Markets.
Amit Daryanani: A couple of questions. One on the Services side, I just want to make sure I heard this right, did you say book-to-bill was 0.9 this quarter, because I think it was 1 the quarter prior. And could you just talk about what your operating margin expectation for Services through fiscal '15, given you've had pretty good expansion in '14?
Catherine Lesjak: Sure. Yes, I did say that the book-to-bill was 0.9. We had hoped to exit the year at 1. We did have a rather large deal slip into next year; if it weren't for that, we would have gotten to 1, but we did end at 0.9. In terms of the Enterprise Services margins, what we laid out for you, I think it was on the October call, was that the margins in fiscal '15 would expand from the 3.6% that we did in '14 to between 4% and 6%.
Margaret Whitman: With long-term margin expansion, as we've said for a couple years, between 7% and 9%.
Catherine Lesjak: Right. With top line growth of 3% to 5% long term.
Amit Daryanani: Yes. And if I could just maybe follow up on China, a couple of weeks ago, Meg, you made some comments about China being potentially soft, especially in the Networking side. Can you just talk about what are you seeing there? Is it very much isolated in networking or is it a broader issue you're seeing that it's tougher to do business in China across HP versus just Networking?
Margaret Whitman: So in China in the fourth quarter, we saw growth in Enterprise Group, in Services and in Printing, but we also saw an increase in a very aggressive pricing, especially in Networking. And overall, in China, HP was flat year-over-year. And we continue to run China with a single business leader, Bob Mao, who reports directly to me, and he's driving really an overall united strategy and go-to-market approach across what will become Hewlett-Packard Enterprise. So it's a little different than the way we run the rest of the world and I think that's working for us. That said, it is a very competitive environment and it is competitive with Chinese players as well as other global players. It is probably our most competitive market in the world, so we have to be on our toes there. And we are very focused on in China, for China. What we've learned, and I've learned in my previous career is you've got to have products that are right for the Chinese market with the distribution model that is right for the Chinese market. And if you did not do these 2 things, you will end up not performing as well as you might have in China. So I think we've got the right approach to China, it is a very competitive market, but I think we're doing as well as any other major global competitor at the moment in China. Great. Okay. Thank you very much for listening, and thank you for joining us this afternoon.
Operator: Ladies and gentlemen, this concludes our call for today. Thank you.